Operator: Good day and thank you for standing by. Welcome to the Quarterly Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today Mary Finnegan. Please go ahead.
Mary Finnegan: Thank you, and good evening, everyone. I'm Mary Finnegan. I'm responsible for Investor Relations, and I'm happy to welcome you to the call tonight. I am joined today with Patrick Kaltenbach, our CEO; and Shawn Vadala, our Chief Financial Officer.
Patrick Kaltenbach: Thanks, Mary, and good evening, everyone. I'm happy to host the call tonight, which I'm doing from Switzerland while Shawn and Mary are in Columbus, Ohio. I want to start by thanking you for your interest and commitment to Mettler-Toledo. I knew many of the analysts on the call have covered us for quite some time and know us well. We also have very long-standing shareholders who are also listening in. I look forward to our future interactions and hope that they can take place in person in the not-so-distant future. Let me make some brief comments on my impressions of the first several months at Mettler-Toledo. It is clear that the company's strategies and initiatives are well developed and well ingrained throughout the organization. A high level of accountability is evident throughout the company, which underpins the culture of strong execution. I am impressed with the interactions I have had with colleagues around the world, and I share their passion for customers and innovation, that is very apparent in how they approach their responsibilities.
Shawn Vadala: Yes. Thanks, Patrick, and good evening everyone. Sales were $804.4 million in the quarter, an increase of 18% in local currency. On a US dollar basis, sales increased 24% as currency benefited sales growth by 6% in the quarter. On slide number 4, we show sales growth by region. Local currency sales increased 14% in both the Americas and Europe and increased 29% in Asia/Rest of the World. Local currency sales increased 44% in China in the first quarter. On slide number 5, we outline local currency sales growth by product area. In the quarter, laboratory sales increased 20%, industrial increased 17% with core industrial up 26% and product inspection up 5%.
Patrick Kaltenbach: Thanks, Shawn. Let me start with some comments on our operating results. Our lab business had outstanding growth in the quarter. Pipettes had excellent growth and continued to benefit from COVID-19 related testing demand. All other product categories had also robust sales growth and growth in all regions was very strong. Biopharma trends continue to be very favorable and we also experienced improved customer demand in other segments such as chemical. We expect Lab to be very strong in the second quarter due to favorable biopharma trends, vaccine research and bioproduction scale-up and production. We also expect to continue to benefit from pent-up demand in segments outside biopharma. While Lab will face tougher comparisons in the second half of the year, we believe we are well positioned to continue to capture share, given the strength of our product portfolio and continued strong execution of our Spinnaker sales and marketing initiatives. In terms of our Industrial business, Core Industrial did very well in the quarter with a 26% increase in sales, driven by China, which had growth in Core Industrial in excess of 60%. Europe and Americas also had strong low to mid-teens growth in Core Industrial. Improving market conditions combined with the strength and diversity of our product portfolio and our focus on attractive market segments contributed to the strong results.
Operator: Thank you.  We'll have our first question coming from the line of Derik De Bruin from Bank of America. Your line is open.
Derik De Bruin: Hi, good afternoon, and thanks for taking my call. So a couple of questions to start. I think the first one, I appreciate the color on the pipette tailwind that you've seen. I am a little surprised though that you're talking about this slowing down. I mean, the -- whenever I read the scientific Twitter feeds there's still tons of articles and complaints about the pipette shortages. I'm just interested -- I just would like a little bit more color there. And also how has that been contributed to your overall pricing? I assume that if there's a pipette shortage and that means that people are willing to pay more for it. So can you talk about have you seen some incremental pricing gains in the business as a result of that and so do those dissipate as well? Thank you.
Patrick Kaltenbach: Okay. Thanks Derik. I'll start off and then let Shawn comment on the pricing topic specifically as well. Well, first on the shortage of pipettes and pipette tips in the market right now. You're absolutely spot on. There is still a shortage in the market especially related to COVID-19 testing. But as Shawn elaborated, we definitely expect the testing demand for COVID-19 going down towards the second half of the year. And there's probably not the same amount in life science research or other areas that would compensate fully for that demand. This is why we are more cautious about the outlook and don't expect the same tailwind from the pipette business in terms of revenues in the second half. On pricing we had the first pricing round this year already and I'll let Shawn also comment about the overall impact of that.
Shawn Vadala: Yeah. So Derik, yeah, so we -- our pricing in pipettes is I'd say a little bit higher than where it would be in a typical year. That's probably been a situation that's been going on now for the last couple of quarters but maybe more recently with the increase in resin costs, we did come out with a price increase more recently in that respect. So you'll start to see actually even higher price increases for pipettes in Q2 and probably for the remainder of the year at least until as long as these higher resin costs continue.
Derik De Bruin: And so what's embedded in your overall guidance for pricing just on a full year basis?
Shawn Vadala: Yeah. So for-- well maybe I'll start off with like how we did in Q1 and then I'll talk about the rest of the year. So we did about 2% in the first quarter. In addition to the price increase for pipettes, we also did some price increases in other parts of the business to try to mitigate some of these material cost challenges that we started to see in the first quarter. At the moment we probably think of pricing in the 2.5 percent range for the second half of the year. Maybe there's an opportunity to do a little bit better than that. And then in Q2 we'd probably be somewhere between the 2% to 2.5%.
Derik De Bruin: Great. And then just one final question. What's your overall bioprocess exposure I guess in dollar amount right now? And just Mettler historically has not been one, the company that sort of pops up on the list when you think about it. Can you just give us some context so we can put it measured against some of the peers in the space?
Shawn Vadala: Yeah. We don't have a specific number for bioprocess specifically, but we probably continue to say that about one-third of our business is sold in the life sciences. Of course bioprocess is an important part of that third with the acquisition of PendoTECH, of course, we further increased our exposure into bioprocess as well.
Derik De Bruin: Thank you.
Operator: Our next question will be coming from the line of Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hi, guys. Congrats on the nice ones here. Maybe Patrick I'll start with the big picture question for you. Perhaps it's coincidental, but what does seems to be changed? We did have an acquisition. I'm just curious as you've had some claim here, what are your strategic priorities? And how should we be thinking about capital deployment, capital allocation for overall Mettler?
Patrick Kaltenbach: Very good question Vijay. And thanks for the computations on the quarter. We are very proud of this quarter as you can imagine as we really performed much better than we expected. Now to your question regarding acquisitions, look Mettler-Toledo has historically a very strong organic growth story and also success in organic growth. Our business model is really on increasing market share every year by better go-to-market strategy with our Spinnaker sales and marketing technologies having unique products in the market in terms of our design, usability, et cetera they are very much favored by our customers. And we see that growth story to continue for quite some time. We still have plenty of headroom to grow. That will not change. It's fundamentally an organic growth story. We continue to do bolt-on acquisitions, tuck-in acquisitions. You could all recall them wherever we think it makes sense from a technology perspective or where it complements our product portfolio. So I'm personally, of course, very committed to the organic growth strategy, which doesn't mean we are looking at potential acquisitions as they would make sense. I think Mettler-Toledo overall is a great platform for such small or medium-sized tuck-in acquisitions, bolt-on acquisitions but the underlying story definitely is an organic growth story.
Vijay Kumar: Understood. And then perhaps one on the guidance here. It's a pretty impressive guidance. I look at some of your peers. Feels like they've been a little bit conservative, your guidance by far this is the best in the group so far on a comp-adjusted basis. I think you mentioned something about pent-up demand. Perhaps did it benefit in Q1, or is that based on your 2Q guidance or perhaps the back half, any commentary on what's driving this underlying strength where Mettler is coming in well-above peers and thoughts on pent-up demand I think would be helpful.
Patrick Kaltenbach: Yeah. Let me start off and then I'll pass it off again to Shawn regarding some -- to give some additional flavor on the guidance question. So, of course, the increased guidance is number one based on our strong Q1 result and our confidence in our Q2 number. We see how well our products are received in the market. We see how strong our go-to-market strategy around Spinnaker sales and marketing really plays out. As I said in my commentaries already is, I think we prepared the team extremely well to capture the market demands that we covered. And we guide our sales force very effectively to the opportunities out there. And that gives us strong confidence for Q2 and also of course for the remainder of the year, even in light of the potential headwinds and risks and uncertainties that we mentioned like, shortages in semiconductors and maybe some of the shortages in material supplies, which we factored into this forecast. But overall, I would say, be -- our confidence in this guidance range is very strong. Shawn, do you want to add some additional flavor?
Shawn Vadala: Yeah. Sure. Hey, maybe just to echo a little bit what Patrick said, I mean, if you look at Q1, and then you look at our Q2 guide, and you put them together, almost 20% growth in the first half of the year. So of course, we feel really good about that and the momentum in the business. Of course, it's always difficult to assess topics like pent-up demand and stimulus. But as we kind of like look to the second half of the year, we typically only sit on 1.5 months' worth of backlog. So it's always a little bit difficult. We will start to face more difficult comparisons in the second half, especially when we look at like China in Q3, which grew 17% last year in Q3. And then, we have this, -- we won't necessarily have the same level of COVID testing that we talked about in the first question, from Derik already. But if you kind of look at the second half of the year, maybe the best way to think about it is that, we're looking at being at -- or assuming a more normalized multi-year growth rate in the second half of the year, again on a multi-year type basis.
Vijay Kumar: Just to be clear Shawn, so there is no pent-up demand baked in the second half, that's correct?
Shawn Vadala: No. We're not expecting any pent-up demand per se, at this point in time for the second half.
Vijay Kumar: Okay, fantastic. Thank you, guys.
Operator: Our next question will be coming from the line of Tycho Peterson with JPMorgan. Your line is open.
Tycho Peterson: Thanks. So I'll just pick-up, where we left off. On the pent-up demand was that greatest on the industrial part of the business? And Shawn, can you comment on the order book? I mean, I know you said, you only carry 1.5 months of backlog, but how is the order book coming out of the quarter?
Shawn Vadala: Yeah. I mean, hey, it's always difficult to talk about your quantified pent-up demand quite specifically. But certainly the industrial business had a tremendous quarter if you look at the core industrial business. What was really impressive there Tycho is that, China has now had three really strong quarters in a row, in core industrial and we started to really see very strong momentum in China which had many different growth drivers to it maybe I'll let Patrick, add some more color on that one, when I kind of finish the comment. But the other thing is, we saw is, really strong growth in the core industrial both in Europe and in the Americas both, grew and kind of like the low-teens kind of a range. But then, if you look at the Lab business, I mean, biopharma has continued to do really well, but we also felt like there was like a pent-up topic there. If you look at segments outside of biopharma like, Chemical, we felt like Chemical was very strong, but we also started to see a lot of other end-markets recover as well too. What was the second part of your question, Tycho, I couldn't remember.
Tycho Peterson: Well, I think you answered it. It was on the order book and then just...
Shawn Vadala: Well, the order book. Yeah, okay. Yeah.
Tycho Peterson: Patrick, maybe just I'd ask you to reflect back a month into the job, if you kind of think about your 180-day strategic review or your initial kind of outlook in the business. Can you maybe just talk the strategic priorities? I mean, that was obviously a very well-loved business to begin with, but are there kind of things that are top of mind for you, as you step into the role?
Patrick Kaltenbach: Yeah. Excellent. Very excellent question, Tycho, look, I mean, as I came into Mettler-Toledo, actually I would almost say, I found what I expected, it's a very well-run organization, very focused on the strategic priorities and really focused on execution. The strategic priorities for the company will not change. I mean, our strategies are very well ingrained, throughout the organization. We are focusing on our end-market opportunities, in terms of the areas where we can gain market share. We continue to evolve also the underlying strong programs and strategies we have put in place around, Spinnaker sales and marketing which is -- has been an evolution in strategies for more than 10 years or 15 years already. The same is true on the Stern Drive program, regarding operational excellence and productivity projects across the company. But I will definitely continue to work with the team on those both of those programs because we think and we are convinced they still have a lot of headroom. I was talking a little bit about our opportunity to gain market share. It's very tangible for us. We see the opportunities. We see the market opportunities. We guide the sales force into the right directions. And frankly, we also have very solid product development, new product development program underway that we continue to exit. That will be definitely also a strategic focus area for myself to make sure that we launch products into market segments where we see the strongest underlying growth. Over the last 10 years, 15 years, Mettler continuously made a shift more towards faster-growing market spaces in the Lab and life science market, which continues to grow. And there's definitely again an emphasis also on my side, to continue that trajectory to find identify and capture these faster-growing market segments for Mettler-Toledo. Then on our strategy priorities for me clearly also working on next-generation leadership, as you would expect from every CEO. Have a strong focus on that as well to make sure that we internally also develop leaders for the company, that can drive the company forward and continue this exceptional growth story.
Tycho Peterson: Okay. That's very helpful. And then, just last one on -- going back to the industrial markets for a second. Consumer packaged goods has been challenged for a while. I'm wondering if there's, any signs of that improving. It didn't sound like it from your commentary. And then, also separately, how are you thinking about infrastructure and stimulus here in the U.S. if we do get a big package?
Shawn Vadala: Hey Tycho, so maybe I'll take that one. So in terms of packaged food, I think the situation, you're right. I think it's generally similar to the last time we would have talked. The packaged food companies continue to be challenged by COVID. There's still a reluctance to have visitors on-site. But we do see increased activity there, in terms of quotations and things like that. We still feel very good about the business in terms of being positioned for a pent-up opportunity here. We didn't necessarily build that into our guidance, but we do feel like we're well positioned there. But it's still difficult to tell the timing and when that's all going to happen. In terms of government stimulus, also difficult to judge, I mean, we -- I would expect we would have some level of benefit. Some of it probably more, indirect than, direct. We don't have necessarily, a significant NIH type of exposure. But on maybe some of the infrastructure stuff our Industrial Business could benefit from some of that.
Tycho Peterson: Okay. Thank you.
Operator: Our next question will be coming from the line of Patrick Donnelly with Citi. Your line is open.
Patrick Donnelly: Hey. Thanks for taking the question, guys. Shawn, maybe on the guidance, now that it's bumped a little higher, do you mind just running through the segment outlook in terms of what you're thinking by segments for the rest of the year with the new range?
Shawn Vadala: Yes, sure. So Patrick, maybe I'll start with the divisions and then I'll talk about the regions. So if I start with the lab division for Q2, we're looking at mid-20s growth and for the full year low to mid double-digit growth. In terms of industrial business, we expect our core industrial in Q2 to be in the 20% kind of a range and then for the full year in the low double-digit kind of a range. And then, with the product inspection business being more mid to high single digit in Q2 and maybe mid-single digit plus for the full year. And then food retailing for Q2 to be high single digit and then for the full year to be more like mid-single digit. And then, if we look at the geographies, I'll start with Europe, which would be kind of like high teens to 20% kind of a range. And then, for the full year, high single digit to low double digit. Americas high teens for Q2 and then for the full year, also, high single digit to low double digit. China, we're looking at mid-20s for Q2 and then, high teens for the full year.
Patrick Donnelly: Okay. That's really helpful. Maybe just to zone in on China, since you just finished with it, high teens for the year, obviously, you've put a monster number this quarter with 40 plus. Can you just talk about, I guess, the durability? Obviously, the comps get a little bit harder. How you're thinking about that the rest of the year? What you saw this quarter that -- was there some kind of pull forward or anything like that that's one-time. Just wondering in terms of the guidance for the full year versus, obviously, the first half is going to be quite a bit higher than that.
Patrick Kaltenbach: Yes. Well, let me take it Patrick. Look, we are really, really happy with our results in China. I think it was truly exceptional, much better than we expected and we commend the team for the excellent execution and capitalizing on the growth opportunities we have there. There have been several dynamics that you should consider when evaluating our China results. First, the number looks very high for the first quarter, but the comparisons are very easy, because they were down 13% in the prior year. However, the two-year combined growth rate is still very good. We are very strongly positioned in China, with our sales and marketing initiatives, which are allowing us to gain share and support customers. We also have worked over the last numerous years to adapt our products for the local market, which helps to support our leading position in many of the product categories in China. And in terms of the underlying dynamics, Shawn said, we see strong recovery in many of our end markets. Life Sciences, in particular, is very strong and continue -- we continue to expect growth from this end market. Other dynamics we are seeing is that, although, we primarily serve local markets in China, our local customers there see some greater demand from the western world actually. And that, of course, fueled some of the end markets for us like chemical. And finally, I think we're also benefiting from the government spending. If you look at China's five-year plan and the investments behind it in things like new labs, funding research also continue to fund safety in food supply, also in packaged food is impacted as well, that plays out for us very well. And then, last but not least, similar to the rest of the world, there is an increasing focus also on automation, which plays very well for our offerings in China. So we are pretty confident that the momentum in China will continue and we strongly believe we will have a very good Q2. And then, as we said also more moderate growth because of tougher compares in the second half of the year.
Patrick Donnelly: That's really helpful. Thanks, Patrick. And maybe, just a quick last one on the product inspection side. Nice to see that we're back to mid-single digit growth. It sounds like the guidance is still calling for it, more mid-single. We're not bumping that too much. What do you need to happen to get that segment going a little bit? It has been a little bit sluggish for over a year now? Would love some color on that front. Thanks.
Patrick Kaltenbach: Yes, definitely, I can take it as well. Look, for product inspection, I think, for us pretty much it will be that the investment in the end market comes back and the confidence in the end market comes back and that customers will be willing again to invest in their facilities to bring people into their facilities. They have been pretty restrictive given the COVID-19 situation. As I said I think in my introductory remarks, the product line has been facing issues even with bringing service people into some of the customer sites, because they were so afraid of the COVID-19 situation there. So as that market, as the COVID-19 situation eases up, we think that some of the pent-up demand of our customers will then materialize for us also into somewhat higher growth rates towards the second half of the year.
Patrick Donnelly: Very helpful. Thanks, guys.
Operator: Our next question will be coming from the line of Jack Meehan with Nephron Research. Your line is open.
Nisarg Shah: Hi. This is Nisarg on for Jack. So there's been a lot of discussion around supply chain challenges related to the pandemic. How do you see this impacting the business?
Shawn Vadala: Yes. In terms of supply chain, I mean, I think we're really impressed with our team over the past year. If you kind of go back to just over a year ago in China when the pandemic started, we already had supply chain challenges. And then if you kind of go over the last 15 months or so, it's been a tremendous journey for them. The agility in the organization has been really tremendous. We still -- but at the same time, we have challenges as well. I just feel like, the team has done a good job of overcoming those challenges. In the short term, right now we're not -- we haven't built anything in particular in terms of our projections in terms of any supply chain disruptions. And right now we feel like we can continue to manage it. We also benefit, I think, a little bit from the diversity in our business. And so, if there is a component shortage in a particular area so far, it hasn't been that significant to the overall group. But certainly, don't want to downplay it either. It's certainly a topic that the team's working really hard at globally.
Patrick Kaltenbach: Yes. So if I might add some flavor there as well. Definitely, it's a very -- it's very high on our radar stream, so to speak, to make sure that we address the potentially upcoming topics. In some areas we have built some safety stock, especially in areas of semiconductors that are under pressure right now, as you have heard from other parts of the industry. Take the automobile industry, where they have sent thousands of workers home last week, for example, in Germany, because of shortage of electronic components. Again, our supply chain team is working with our vendors very closely to make sure that we understand the overall supply chain situation, build safety stock wherever possible and then continue to mitigate. We also continue to mitigate internally looking into even potential design changes where it would be adequate to make sure that we can continue to manufacture with other components if needed. Pretty unpredictable right now. I would say that the supply chain spends more energy than ever on this topic to ensure that we are not facing any major shortage, but we are certainly not immune from the overall trends. So no guarantees, but I can tell you that we at least for the most competitive components we know of we handle them also with some -- we have some safety stock et cetera. 
Nisarg Shah: Great. That makes sense. And can you update us on what your target is for gross margins for the year? And are there any notable factors to call out around fixed cost leverage?
Shawn Vadala: Yeah. Hey, so in terms of gross margin for the year, we're kind of like looking at the second quarter will probably be overall similar to the first quarter could be a little bit lower. And then for the full year, the gross margin level we're thinking in the 50 to 60 basis point kind of range in terms of margin expansion. What you'll kind of see as the year progresses, I think you'll start to see a little bit more improvement from the pricing program that we talked about in the initial question from Derik. We'll continue to also have benefits, especially in the second quarter from higher volumes. But kind of on the other side of that, we do have higher costs related to material costs as well as freight. And then another dynamic that we're going to see in the second quarter is that if you think back a year ago that's the quarter when we started to have a lot of temporary cost savings in the business. And a lot of those cost savings will now be coming back into the cost structure in the second quarter. And so that would be kind of like a something kind of going the other way.
Operator: Our next question will be coming from the line of Matt Sykes with Goldman Sachs. Your line is open.
Matt Sykes: Yeah. Thanks for taking my questions. Just the first one, you spent some time on PendoTECH. And so I'm just curious as the integration kind of starts coming along and they're already facing a very strong market in bioprocessing and you integrate it into your global platform. What kind of new opportunities do you think you can open up for PendoTECH in terms of new customers or new geographies? I know they have a presence in Europe. But I'm just curious about what Mettler can add to PendoTECH as you continue to integrate them into your platform?
Patrick Kaltenbach: Yeah. Good question. And let me comment on this. So as I said extremely pleased with the acquisition of PendoTECH. I think it's really complementary also to our strength that we already have in some of the bioprocessing and even some single-use sensors that we also have at Mettler-Toledo. So it's complementing the portfolio very nicely. PendoTECH definitely stronger in downstream. We are more at the moment stronger in upstream. But if you look at the combination of the two businesses as I said, it's actually very beneficial for customers to have the same window for both upstream and downstream applications. I think we from as Mettler-Toledo bring a lot to the table for PendoTECH in terms of our global reach, global footprint, our customer base and expand actually the market reach for them worldwide. We also have definitely sensor technology know-how in areas where they don't play today. But they have on the other hand a lot of design knowhow of how to implement sensors in single-use designs that are used in downstream applications. So I think there's a lot of technology leverage that comes together as well as a good market leverage in terms of our strength and our global reach that we have as Mettler-Toledo. The integration is going extremely well. We are very pleased of how things are going. There was zero disruption for our customers. Actually the response we have received from PendoTECH customers was extremely positive. We are helping them also on the supply chain side securing supply for actually increased demands in -- for their products as well. So I think this is really a combination of two companies that will provide a lot of benefit for customers in the biopharma space.
Matt Sykes: Great. Thanks for that. That's very helpful. And just -- I know we spent some time on product inspection, but given the level of potential pent-up demand given what the business has been going through over the past couple of quarters, could you just help me with the sort of the sales cycle in terms of from when a decision is made to when a product is shipped and installed. I'm just -- what I'm trying to get at is like how quickly could this turn around once those companies decide to refocus back on spend?
Patrick Kaltenbach: Look typically, I'll start off with this and I'll let Shawn then chime in as well since he has longer experience with this product line than I have. But I can tell you that the sales cycle of course for investments like you would see it in product inspections are definitely longer. I mean these products are in most of the cases is it designed for the specific application and the specific line of the customer. So you have to think about the customer has basically a food manufacturing line and they will ask -- they want to add some specific product inspection whether it's metal detection whether it's X-ray whether it's visual inspection and the devices have to fit their manufacturing line. So part of the process is basically that our sales rep would come in and work with the customer on number one what -- what his needs are in terms of the subject that he wants to detect in there whether it's x-ray whether it's metal detection, whether it's visual or check lane even. And then it comes to the point where we say okay we have the right solutions. And then it comes to designing to the installed base of the rest of the manufacturing line that is in place there. So it fits. And that cycle actually takes a couple of days to several weeks to get through to final approval process with the customer as well and then the system is built. So it's not something that's will turn around in a couple of weeks when you talk about pent-up demand. What we're doing however is we start -- we increased our marketing efforts. We also brought our demo trucks back on the road especially in Europe to be close to customers who cannot go to trade shows etcetera. So we bring the product to customers so they can see them, how they look like and then can basically start the conversation with the, our sales rep about potential investments for the next couple of quarters. Shawn any additional flavor you want to... 
Shawn Vadala: No. I think you did a really good job answering it Patrick. I wouldn't add anything to that. I think that's very much the nature of that business which is different than our other businesses. 
Matt Sykes: Great. Thanks very much.
Operator: Next question coming from the line of Dan Brennan with UBS. Your line is open.
Dan Brennan: Great. Thanks for taking the question guys. I appreciate it. So just in terms of the full year guide just wondering if you think about the back half of the year I think this question was already raised, but I'm just wondering Q2 guide. So if Q2 does assume a bit of a deceleration when you look at like whether 2-year or 3-year stack comps. Is that just conservatism? Is that any reflection that PMIs are peaking and you just kind of think about what the business could do, or just maybe again really strong quarter just wondering, how you would characterize kind of what's implied for Q3, Q4 just in terms of the -- kind of what got you to that level? 
Shawn Vadala: Yes sure. So when we look at Q2 just to clarify I wouldn't characterize Q2 as any a deceleration from Q1. In fact I think if you look at the multiyear stack, it's actually going to be very similar even excluding the PendoTECH acquisition. I think as we look at the second half of the year as we kind of talked about earlier there's a few different factors. One, we have a more difficult comparison but I guess that would neutralize in the multiyear. But if you look at the this Q1, Q2 and even as we kind of ended 2020 we did feel like there was an element of pent-up demand and various dynamics kind of going around already starting in China in Q3 of last year starting to accelerate in other parts of the world in Q4. And then we saw a very significant momentum gain here in Q1 with other markets outside of biopharma really starting to recover. And so, it's always difficult to really determine and quantify how much is attributable to pent-up. Right now as we talked about earlier, we're just not assuming that there's any additional pent-up for the second half of the year. But if you look at our multiyear growth rates for the second half I think it's more consistent with our historical normalized growth rates. And okay of course, we'll see how Q2 plays out and we'll update everybody as we kind of get to the end of the quarter. 
Dan Brennan: Great. Thanks. And then when you think in kind of rest of world regions and there's a lot more volatility and kind of vaccine rollout's been slower to come by. I'm just wondering, can you just comment on the rest of world just kind of what's baked in and kind of what trends you've been seeing there? 
Shawn Vadala: Yes. So what's interesting is not only in rest of the world but we've kind of been really monitoring this even closely in Europe, when as soon as like the variants started coming out. And what we've kind of observed here with this second chapter of COVID if you will is that, it has less impact on our end markets. And it seems to be affecting things more from a social lockdown perspective and less business impact. I'm not saying that -- I'm not saying, we're - the economies are resilient to COVID and that there couldn't ultimately be some kind of a knock-on risk effect. But if we just observe things like Europe's been in a pretty heavy lockdown for the last few months and you see the business environment. But then you look at the rest of the world, like a country like India who's going through a very severe situation at the moment, our end markets are still actually doing well there. We'll continue to monitor that. Of course that's 2%, 3% of our business probably more in the 2% kind of a range. But other than India we're not necessarily seeing anything significant in other parts of the world. I mean Latin America we have I'd say a smaller exposure and not necessarily seeing impact on our business at least at this point in time. 
Dan Brennan: Great. Thanks Shawn.
Operator: And our next question will be coming from the line of Brandon Couillard with Jefferies. Your line is open.
Brandon Couillard: Hey guys, good afternoon. Just one for me, Shawn. I think you mentioned in the prepared remarks plans to add some commercial sales resources under Field Turbo in the second half of the year. Can you just talk about the magnitude of those plans in terms of headcount. And would those be targeted in any certain geographies or specific business lines? Thanks.
Shawn Vadala: Yes. Thanks Brandon. Hey we're excited to restart the Field Turbo program. I think it also demonstrates how we feel about the business and the growth potential especially as we're kind of preparing for 2022. We're going to be making investments in the Field Turbo program as well as other investments for growth and other types of investments for growth in other parts of the business as well too. When we look at the program it is global in nature. And -- but it will have a little bit of a disproportional investment in China just given the significant opportunity we see in China in the medium to long-term. And if you look at the types of resources it will be kind of similar to the past where there'll be kind of a good mixture of field resources, but also inside resources, including telesales resources. And we just continue to see really excellent returns in terms of our investments in the field, but also the inside resources. I mean the telesales program continues to generate very significant leads for the company. These resources also do a fantastic job of leveraging our field sales so that they're even more effective as well too. So we feel very good about making these investments and I think you'll start to see them happen in the second half of the year.
Brandon Couillard: Great. Thank you.
Operator:  Next question will be coming from the line of Josh Waldman with Cleveland Research. Your line is open.
Josh Waldman: Hi, guys. Thanks for squeezing me in. And I just have two questions. First, just one last follow-up on the full year guide. I wondered if you'd be willing to more specifically kind of lay out how much of the increase to the full year was due to the 1Q beat versus an improved outlook and your assumptions for the remaining three quarters? And then second, I wondered if you could walk through how you're seeing orders shape up from kind of the process -- within the Process Analytics business. I believe this was an area that performed quite well throughout 2020. And I guess just seeing -- wondered if you're seeing any signs of the business slowing and maybe how you're thinking about growth in that business within your full year guide?
Shawn Vadala: Yes. Hi, so maybe I'll take that one Josh. So in terms of a high-level bridge to the guidance, if you look at the Q1 beat, of course, that's part of it. But from a sales perspective actually a bigger part of it was our Q2 is much higher than what we would have thought three months ago as well as a modest improvement in the rest of the year. And then, of course, it also includes 1% for PendoTECH. And if you look at it from an EPS perspective I'd say just under half of the increase is related to the Q1 beat. And then probably something more like in the 60%, kind of, range was related to higher sales volume as well as a little bit of benefit from currency which improved a little bit since the last time we spoke offset by some of these growth investments that we talked about. In terms of process analytics maybe I'll start that one and then I'll let Patrick add some comments if he has any additional color. But, hey, Process Analytics is doing extremely well about half of the business or so has an exposure to bioproduction, as you can imagine that part of the business is doing really well. We've had a lot of really great photo ops in that business actually around the world over the last few months with leaders around the world visiting bioproduction plants and then our equipment's behind it. A recent one was when President Biden was at the Pfizer plant in Michigan. So that business is doing really well. We've always felt very strongly about that. Patrick talked about that when he talked about PendoTECH as well. But what we're also seeing is that the end markets other than biopharma are also coming back quite strongly there also. 
Patrick Kaltenbach: Yes. Absolutely, Shawn. And I mean the only thing I could potentially add here is as you know this is also a strong consumables business so to speak because the sensors have to be replaced on a regular base, which builds a very healthy revenue stream for us given the strong installed base we have. And then also we have new technologies like the intelligent sensor management technologies which is very attractive for many customers which allows us to upgrade them and even replace some of our competitors in the space. So we are looking actually a very healthy funnel for our Process Analytics business. 
Josh Waldman: Thanks, guys.
Operator: And we don't have further questions coming in. I would like to hand the call back to Mary.
Mary Finnegan: Thank you. Hey, and thanks everyone for joining us this evening. As always, if you have any questions or any follow-up please don't hesitate to reach out. Take care everyone. Bye-bye.
Operator: And this concludes today's quarterly conference call. Thank you everyone for your participation and you may now disconnect.